Operator: Good day, and thank you for standing by. Welcome to the Imerys 2025 First 9 Months and Third Quarter Results Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speakers today, Alessandro Dazza, Chief Executive Officer; and Sebastien Rouge, Chief Financial Officer. Please go ahead.
Alessandro Dazza: Thank you. Good afternoon or good evening to all of you, and thank you for joining us today to review Imerys first 9 months and Q3 2025 results. Next to me this evening, as usual, Sebastien Rouge, our CFO. And as usual, please let me start by giving you some highlights for the 9 months we just closed. Imerys' performance for the 9 months is the result of a positive start to the year and a softer second part. Q3 reflected an honestly unexpected slowdown in the U.S. economy as a result of uncertainty caused by the U.S. tariff policy. Europe, even if overall activity remains low, seems to be turning the corner positively. Revenue for the first 9 months was EUR 2.583 billion, slightly down 0.7% like-for-like versus last year. Even in this context, which remains challenging, Imerys posted an EBITDA of EUR 421 million, in line with last year like-for-like and excluding the contribution of joint ventures. This demonstrates the resilience of our company also in difficult times. The adjusted EBITDA for the third quarter '25 was $140 million, representing a 17% margin and again, reflecting disciplined pricing policy, ongoing continuous cost management and positive business dynamic in the polymer and additive businesses. For the full year 2025, the group confirms its adjusted EBITDA target in the range of EUR 540 million to EUR 580 million. Last important as we do not see a significant market recovery or at least is being delayed on top of the ongoing actions on costs, and I will come back to this, the group is launching a comprehensive cost reduction and performance improvement program aimed at simplifying its organization and adjusting its industrial footprint to restore profitability. Finally, some key updates of the quarter. First on EMILI. Imerys has received an indication of interest from a potential investor to acquire a minority stake in the EMILI Lithium Project. Classic, subject to customary due diligence and approvals, this investment should be formalized by the end of January '26 and would allow the completion of the definitive feasibility study of the commercial plant sometimes around the end of next year. Consequently, any decision concerning future phases such as the construction of the industrial pilot plant are on hold and will be made in due course based on market conditions and capital allocation considerations. Second, important good news, Imerys signed today an agreement to purchase SB Mineração in Brazil. SB Mineração is a Brazilian company specialized in the production of ground calcium carbonate or GCC, based in Cachoeiro in the state of Espírito Santo. The company is a leading producer of GCC for various applications, in particular, polymers, thermosets, paints and coatings. In '24, the business generated approximately USD 30 million in revenue with a solid profitability. With this acquisition, Imerys would strengthen its footprint in Brazil, where it is already one of the main producers of carbonates. The completion of the transaction is subject to customary closing conditions, including regulatory approvals. A word on our decarbonization road map. We signed an important partnership in October with LNG to supply green energy to approximately 25% of our European operations via a 10-year corporate purchase agreement for the annual generation of 200 gigawatt hour of renewable electricity in Spain. This agreement will enable the reduction of 70,000 tons of CO2 equivalent per year or 14% of our Scope 2 emissions, so a significant step. Finally, our Imerys Graphite & Carbon business signed 2 strategic partnerships aiming at enlarging its innovative product portfolio for batteries. One is with Cnano, the global leader in carbon nanotubes, the second one with Shanghai ShanShan, who is the global leader in synthetic graphite for lithium-ion batteries. I will not enter the details and more details are available on our website on the 2 specific projects. What is important, both partnerships directly address Europe's crucial need for a regional, resilient and competitive battery supply chain based on state-of-the-art technologies. If we move on now to the next slide. Here, you see Imerys sales performance by geography for the first 9 months, which gives a good picture of the a bit contrasted economic activity by area. Europe represents about 50% of our sales or slightly less, enjoyed finally a light recovery in Q3, thanks to improving construction and industrial activity. And you see this if you compare to what we published in July with the Q2 results. Nevertheless, on a full year basis, year-to-date, business is still lagging behind last year, and we know due to soft activity in industrial sector and a poor construction market until recently. North America, the big surprise of the quarter really subdued in Q3, confirming a trend that we have seen at the end of Q2, mostly affected by tariffs, a weak industrial or weak, sorry, residential markets and a bad quarter in filtration, partly, frankly, relating to our own production issues relating to CapEx and some industrial topics. For the 9 months, sales are basically flat compared to last year or in line with previous year. We should not forget the significant impact of the devaluation of the U.S. dollar, negatively impacting sales at the level of 4% compared to last year, so becoming significant. In Asia, sales are growing nicely, not only in India, but also in China, which remains quite dynamic, especially around new technologies, electric vehicles and strong exports in general. South America, very strong first half, a bit weaker Q3, but I remain confident it will be a good year in South America. On the next slide, as usual, a deep dive on what really shows the robustness of Imerys' business model. On the left side, you can see the evolution of our adjusted EBITDA year-on-year. We do have a significant impact of perimeter, as we saw before, coming from the divestiture of the assets serving the paper market last year in July and of joint ventures, as we have been discussing since the beginning of this year. FX playing a role, as I mentioned before, but fundamentally, the core of Imerys' activity remains solid and adjusted EBITDA was resilient, almost flat compared to last year. On the right side, the balance price costs, which highlights the good continuous work done on cost reductions, first of all, but also on Imerys' agility to react to market changes in terms of pricing when needed. We know this balance remains a key factor for future success. Let's now look at our main underlying markets and their trends, and I'll be quick as we have partly already addressed the main trajectories and trends by geography. So overall, I would say what we saw in Q2 was confirmed in Q3 with overall markets, say, below expectation, especially construction and automotive, while growth in electric vehicles continues strongly, and while tariffs have a limited direct impact on Imerys, the uncertainty created by these tariffs is impacting more in general business activity and unfortunately, specifically some of our customers. To rapidly conclude on this side, construction finally, and potentially restarting in Europe, remains below expectation in the U.S. Consumer goods, resilient, certainly in the U.S., maybe slowing a bit in America for the reasons we have mentioned. Automotive, continued low production levels in Europe and in North America. China, good, benefiting from strong exports, but also these internal stimulus packages or policies launched by the government and of course, very strong EV growth in the area. General industrial activity, soft in Q2 in Western economies, strong or solid in China. so far for market trends. Sebastien, I hand over to you for more details on our accounts.
Sébastien Rouge: Thank you, Alessandro. Good evening, everyone. Let me recap some of the key aspects of our financial performance, and we'll start with revenue. The group reports sales at EUR 2.6 billion for the first 9 months of 2025. It represents 0.7% decrease at constant exchange rate and perimeter as compared to last year, with volumes slightly down and prices holding well. You keep in mind the large perimeter effect, EUR 126 million, mainly due to the disposal of the assets serving paper in July '24. We have now an FX impact of minus EUR 47 million coming from a drop mostly of the USD versus euro from Q2 onwards. You can see in the chart, Imerys performance for the third quarter alone, quite similar trend for sales volume and prices and also a high FX impact. Perimeter effect is now positive, thanks to the good performance of Chemviron, the business acquired at the end of last year. If we look now into more details at our 3 business segments, beginning with Performance Minerals, the business generated EUR 1.547 billion since the beginning of '25, representing 60% of Imerys Group. Overall, the business shows a slightly negative organic growth as compared to last year due to a weak Q3, notably in America. Revenue in Q3 for Americas was down 5.7% at constant scope and exchange rate, reaching EUR 199 million. Sales were impacted by a weak residential market in the U.S. suffering from high interest rates, unsold housing inventory and also a soft filtration market. The prices held well. Revenue in Q3 for EMEA and APAC decreased by 3% like-for-like in the third quarter of '25 as compared to last year. Weak volumes, minus 4.1% were driven by low demand across main markets, where our sales to paints and automotive polymer slightly improved. I already mentioned the good performance of Chemviron's diatomite and perlite businesses integrated since January '25. Here as well, price grew in line with H1. Now looking at our solutions for Refractory, Abrasives and Construction business. We note a relative improvement of the business in Q3, posting organic growth in the quarter after a difficult H1. Business revenue reached EUR 278 million in Q3, an increase of 1.9% as compared to last year at constant scope and exchange rate. The recovery is primarily driven by stronger refractory activity, benefiting from positive momentum in the U.S. and China and some volume gains in Europe. In contrast, the construction business experienced a more mixed performance, impacted by soft end markets. In this business, prices as well held well. Now let's complete the segment review with the solutions for energy transition. Q3 revenues for graphite and carbon amounted to EUR 59 million, a 3.6% increase compared to last year at constant scope and exchange rate. Sales growth is still driven by robust end markets, primarily electric vehicles. The business also benefited from successful new product launches, in particular in polymer applications. A small note on the Quartz Corporation, our high-purity Quartz JV, 50% owned by Imerys and not consolidated, as you remember. The activity is showing some signs of normalization. However, these have yet to be confirmed as the solar value chain remains affected by persistent high inventories and the lack of significant reduction in production capacity. Now let's look at the group profitability. For the first 9 months, adjusted EBITDA reached EUR 421 million. It decreased by 21% as compared to last year, reflecting the impact of lower contribution of JVs, perimeter impact and an unfavorable exchange rate effect of minus EUR 11 million. Imerys achieved an adjusted EBITDA margin of 16.3% at the end of Q3 '25. This was supported by improved performance in graphite and carbon, resilient activity in Performance Minerals and a continuous cost management approach. Adjusted EBITDA Q3 '25 decreased by 6%, impacted by volume decrease and a EUR 10 million FX impact, which were partly offset by a positive price cost balance in this quarter again. Ongoing cost-saving initiatives allowed the group to keep fixed cost and overhead slightly lower than last year in absolute value, fully offsetting inflation. If we look now at the other elements of our income statement for the first 9 months of this year. Driven by the decrease of EBITDA in absolute value, current operating income reached EUR 216 million. With slightly higher interest expenses and lower income tax, current net income from continuing operation ended up at EUR 126 million at the end of September. You remember that last year, the group booked EUR 326 million in noncash expenses, mostly originating from the translation reserves associated with the assets serving the paper market that we divested in July '24. This year, in the first 9 months of '25, other operating expenses were limited to EUR 16 million. Year-to-date, net profit is, therefore, positive, reaching EUR 110 million at the end of September. I now hand over back to Alessandro for the outlook.
Alessandro Dazza: Thank you, Sebastien. So let me conclude with some good news. First, we remain confident of achieving our guidance, which is not a given under current market circumstances. Second, I'd like to inform you that the date has been set by the relevant court to resume the confirmation hearing on our Chapter 11 case in the U.S. This is now planned to start on February 2 next year. Yes, we all wish it could be earlier, but this was the first available date provided by the court. What is important is having a date for this crucial hearing is a very important step towards the end of this process. Third, as you have seen at the beginning, we have signed, not done yet, but we have signed a new acquisition. It's a classic bolt-on. And as you can see with the recent one, Chemviron, it can be integrated rapidly, well, profitably with a lot of synergies. As you can see when you look specifically at Q3 performance, where the perimeter effect becomes only this acquisition. Then next, we indicated in the past that we were looking for a partner for the EMILI project. Well, I believe we are close to have found the first one. This will secure the financing of the next steps, giving precedence in our plans to the completion of the engineering studies for the DFS. Consequently, we will pause the investments in an industrial pilot plant and review this decision in due time and based on market conditions and capital allocation consideration. Last, you know that we relentlessly work on costs through careful management through our operational excellence program called I-Cube that you heard before. And I believe the EBITDA bridge Sebastien just showed you a few minutes ago confirms the good work done on costs. Nevertheless, we have to acknowledge that today, we do not see a significant rebound in or a market recovery in the nearby future. Therefore, we have to make a step up and the group is launching a comprehensive cost reduction and performance improvement program, aiming at achieving significant cost reduction via leaner, simplified organization and an adjusted industrial footprint with a clear target to improve profitability from 2026 onwards. More details on the program will be available at a later stage for obvious reasons. Thank you. And now I hand over to you for the Q&A session.
Operator: [Operator Instructions] We will take our first question and the first question comes from the line of Ebrahim Homani from CIC.
Ebrahim Homani: I have 3, if I may. The first one is about the Europe. You said that it is going better and better. Are the volumes already positive in the region? If not, do you expect that the volume will be positive in Q4? My second question is about your EMILI. Could you give us more flavor on the investor interest? Is it an industrial from the automotive industry and maybe more information on the term of this partnership? And my last question is on graphite and carbon. How do you explain the slowdown of the growth? I noticed that it is not a comparison basis effect as in Q3 2024, the branch was already declining. So the low growth, what's the explanation behind this lower growth compared to the H1?
Alessandro Dazza: Thank you, Ebrahim. Well, volume in Europe, I remain prudent because we shall be prudent when I look at communications on Q3 coming in the market. I confirm that we believe the worst is behind. Construction in some areas is picking up. And I believe automotive will continue to decline in Q4, but most forecasts believe, again, that the bottom is reached and we should see a positive return of activity or at least a stabilization. Is it Q4? Is it the beginning of next year? We will see. What will definitely have a positive impact on our business in Europe in Q4 is, if you remember, there is an antidumping imposed temporarily, but valid on certain Chinese imports of minerals. And this will trigger a volume increase in Q4 for some businesses. If you look specifically at the RAC business, it was the -- except for graphite and carbon, the one posting organic growth because finally, volumes are starting to return with some gain of shares in Europe. So all in all, I am rather positive on Q4 volume development certainly into next year. On EMILI, as you can imagine, we are in the middle of discussions, by definition, confidential. So we'll be back to you when we can. And I believe it will be relatively short as we indicated in our press release and in our presentation. But bear with me at the moment, everything is covered by confidentiality. Graphite & Carbon, whilst the summer period is always a bit to be taken -- you have a small month normally in August. So you might see less deviation. Market remains solid. Growth remains solid. We have had some -- we have had 2 issues that have a little impact. For sure, we installed SAP in the two operations. And as always, there is some learning of the new system that you have to pay when you do these changes. By the way, we did the same in the U.S. this year. So for sure, this is causing a bit of disruptions. And secondly, when you ramp up at that speed, you need to run your plants. I cannot say flat out because we have capacity to follow growth for the next 3 years, but you don't turn the machine on and it goes along. We are recruiting people. We need to train the people, and frankly, we do have a bit of backlog of orders that we could not supply because we were not able to get all the material out of the door. So for me, is maybe the increase is less than Q2, but there is no negative news from the market that does not confirm the direction. Then of course, the more we grow, the more -- the higher the comparison basis will be coming from the past, but really no bad news in any form Ebrahim on G&C.
Operator: Your next question comes from the line of Auguste Deryckx from KEC.
Auguste Deryckx Lienart: My questions are on the Quartz JV. Given the weakness of the sector, do you see customers turning to a lower quality product, so a product with a lower purity? So in other words, are you losing market share? And the second question still on Quartz is still given the situation, do you think that you will be able to receive a dividend from the JV? And if so, what can be the level? And if not, how do you plan to crystallize the value of your stake in this JV?
Alessandro Dazza: Thank you, Auguste, for the question. Specifically, listen, when you have free capacity in your operations, like it is the case in the value chain of especially solar in China today, of course, you try to save money and you try everything you can. Do we believe that we are or we will lose significant market shares in high purity? No. My view is no. At the moment, I think our customers have been trying to replace this product because of its high price and dependency really on two suppliers for many, many years, is nothing new. So I believe when the market will need to run production at strong level, a normal level to follow market growth. So once inventories are depleted, and last time we said it might be around mid next year, I think it will become again unavoidable to have the best quality because you will have the best productivity. So I remain of the opinion market share in normal conditions will remain for a high-purity top product. And on the same topic, clearly, the year is not as good as last year. Therefore, we have been more careful with the distribution of dividends. We will decide with our partners if and when is the right time. The company is making profit, good profits. You see only half of the net income in our numbers. But if you look really at what is the full potential of this business at EBITDA level, which you see in June and you will see in December, you see that it remains an incredible high-performing profitable business. And therefore, we will discuss openly with our partners what is the best for the business and for its shareholders. And based on that, we'll take the decision, which is not taken as of today, but it is part of the discussion we have as shareholders regularly.
Operator: Your next question comes from the line of Sebastian Bray from Berenberg.
Sebastian Bray: Can I start with one on the financing costs of the group, please. What is the underlying run rate that is a reasonable assumption for '26? And by when does the company expect to have refinancing in place for the bond that comes due roughly EUR 600 million? Is it towards the end of the year? Or would it expect to have something in the middle? Can I also ask about the review that the group is doing of its cost structure. The -- is this extending to a portfolio review as well? And are there any further assets that the group feels it could potentially divest as part of these considerations?
Alessandro Dazza: I'll let Sebastien answer your -- first, Sebastian, welcome to this call. I think it's your first time. I'll let Sebastien answer on the financing side.
Sébastien Rouge: Yes. I will probably not answer extremely precisely. This being said, I think you are -- you're asking the good question. We have a next big repayment very early in '27. So we pursue a very careful approach. So we will probably refinance that either late this year or in the first half of 2026 so that we are away from any timing risk, and we will not preannounce that, but I think we'll follow your advice, which is not to do that at the last minute, knowing that on top of that, bond markets are pretty good for corporates these days. Also, I think I think our careful approach on lithium is actually a good sign that will facilitate refinancing. As far as run rate is concerned, I would say it's a little bit mechanical. We have a very detailed of our financing in our annual report, obviously, and unfortunately, when we replace a new -- an old bond by a new bond, there is a little bit of extra interest rate, mechanical, but that, I would say, is true for us like the rest of the market.
Alessandro Dazza: Thank you, Sebastien. And coming to your second question, Sebastien. At the moment, there is no plan to significantly review our portfolio. We have done it in the year '23 and '24. Yes, we might sell opportunistically one or the other site, especially if nonperforming or not up to our standards, but it will be very punctual and not really a big topic. On the contrary, as you have seen, we believe we are rather on the acquisition mode, bolt-on, easy, synergetic, profitable if opportunities arise. So cost is really an organizational matter. It's a matter of lean organization, simplification. We will review, as I said, our industrial footprint if it still fits the new markets. These tariffs are causing shifts in ore production with countries that are favored by more positive depositories, other that are paying a higher bill. So within our customer base, and that's what I referred to when I said limited direct impact for Imerys, but for our customer, yes. So there might be movements in where we supply our customers that could trigger, as you say, maybe a closure of a site or a divestiture of a site in a country maybe that has been penalized by lower activity. But we really want to work on costs. We are going to use AI to simplify our administrative processes, lean organization and probably give up some nice to haves that are not affordable when you have challenging market conditions. But the portfolio is a good one. And even the more -- let's say, the business is under more pressure like some businesses in Europe, especially after the energy crisis, if these antidumping measures will be confirmed, I do believe there will be market share gains and a return to a very reasonable profitability as expected.
Operator: Your next question comes from the line of Sven Edelfelt from ODDO BHF.
Sven Edelfelt: I would have two follow-up questions. Alessandro, you mentioned a first investor with regards to lithium. Does this suggest the participation will be limited to a 10-ish percentage point participation? And therefore, you expect maybe some other investor or maybe I misunderstood. And the second question, on the restructuring cost that you're announcing I don't understand why you are announcing a potential restructuring cost without giving us any number. On the second question related to this one is, does that mean that given what you have from your team on the ground, you don't expect a recovery before 2027 or 2028. What's the sense of doing it right now? That's my question.
Alessandro Dazza: Thank you, Sven, for your questions. The first one is, again, I cannot enter more details as we are in the middle of the discussions. But I can definitely say that your interpretation is not the right one. A partner is a partner and every partner is important, and we expect the partner to play a significant role. What I'm saying is that if you look potentially to the end of this project is a very large project one day, if we go to the end. And typically, in mining -- large mining projects, you might have several players joining forces to sustain the CapEx to bring know-how and to develop jointly. So it's nothing to be interpreted other than this, partner important, every partner important. And going forward, we will consider interested party in this project if they bring value any time. On your second one, again, don't interpret that we do not expect any rebound. I expect a rebound in Europe next year. The magnitude to be seen. And when I say high is because all the studies -- economic studies we buy by big experts do foresee a recovery in Europe. They're a bit less optimistic on the recovery in the U.S. They believe the first months of next year, the U.S. might be under pressure because of all the turmoil, inflation uncertainty and uncertainty is the right word and then a recovery in the second half of next year. What I believe is that a significant strong rebound is not for the next 2, 3 quarters. Therefore, better be ready with a stronger company, leaner, more efficient. And when volumes come, that's with a 53%, 54%, 55% contribution margin, when volume comes, then we really see a significant improvement in profitability. So we are just doing an extra mile to be stronger, to be more efficient, to be leaner, waiting for a slow or a rapid recovery in the future. So not pushing back anywhere. I do believe '26 or at least forecast say '26 should be good again, but it's not there and waiting is not an option. We did not communicate more figures Sven because there are legal processes and constraints that are being discussed and no decision is taken. There are consultations ongoing, preparation. But latest by the next communication, we will give for sure all the details in due time when everything has been set, discussed, reviewed, negotiated, approved. So it give us the time just to be there.
Operator: There are no further questions. I would like to hand back for closing remarks.
Alessandro Dazza: Thank you very much, and thank you for all participants to listening to this evening's press release and presentation on Imerys. Thank you very much. Good evening.
Sébastien Rouge: Good evening.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.